Operator: Good evening. My name is Debbie, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the DaVita Fourth Quarter 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] Thank you. Mr. Gustafson, you may begin your conference.
Jim Gustafson: Thank you and welcome everyone to our fourth quarter conference call. We appreciate your continued interest in our company. I'm Jim Gustafson, Vice President of Investor Relations, and with me today are Javier Rodriguez, our CEO; Joel Ackerman, our CFO; LeAnne Zumwalt, Group Vice President; and Jim Hilger, our Chief Accounting Officer. Please note that during this call, we may make forward-looking statements within the meaning of the federal securities laws. All of these statements are subject to known and unknown risks and uncertainties that could cause the actual results to differ materially from those described in the forward-looking statements. For further details concerning these risks and uncertainties please refer to our fourth quarter earnings press release and our SEC filing, including our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q. Our forward-looking statements are based upon information currently available to us and we do not intend and undertake no duty to update these statements. Additionally, we'd like to remind you that during this call we will discuss some non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most comparable GAAP financial measures is included in our earnings press release submitted to the SEC and available on our website. I'll now turn the call over to Javier Rodriguez.
Javier Rodriguez: Thank you, Jim and good afternoon, everyone. We appreciate your interest in DaVita and look forward to your questions and comments. I will start with clinical highlights as a reminder of life-sustaining care that we provide to more than 235,000 people. While we discuss clinical outcomes and lowering the total cost of care, our goal is to improve our patient's quality of life. One specific example has been to focus on reducing infections in our patients. DaVita's patient's are prone to infection which can often lead to lengthy hospitalization days and increase in mortality. I’m excited to report their efforts have paid off. In 2019, we reduce the rate of bloodstream infection by 13% and improved the rate of peritonitis by 20% versus the prior year. This is a meaningful improvement that kept many of our patients out of the hospital. Now let me transition to our results and outlook for 2020. We had a strong performance in 2019. We met earnings per share and free cash flow growth target we set for the year. We are committed to achieving our 2020 financial guidance and in fact we are raising our earnings-per-share target range by $0.50. Joe will provide the financial details on both the quarter and our 2020 guidance. Now let me pull up for a few minutes to share our high level views on clinical and on policy. We are in an exciting time for kidney care. We are bridging the transition of care from the nephrologist's office to different types of care. We are working with our payers to use predictive analytics to identify CKD patients with the highest risk of transitioned to ESRD. Once we support these patients, we will work on avoiding or delaying the onset of kidney failure. We remain excited about nephrology care lines, the new physician led entity with nearly 1,100 nephrologists that will be the vehicle to connect DaVita to the nephrologists practice. The goal is simple. Provide world-class analytics and education to help physicians best deploy their time to care for the right person at the right time. For those patients who do transition to ESRD with both a leading education platform to empower patients to choose to start on the right treatment modality or for them. For patients who chose home modality, we continue to invest in our leading home platform where we serve the most home patients of any provider. In 2019, we saw our high -- our highest growth ever in PD modality. We are working to maintain our leadership in the home dialysis with a 2020 goal of achieving double-digit growth in the PD modality. Moving on to policy. We continue our multi-year journey towards integrated care. We are encouraged by the quality improvement that are evident in our demonstration such as the ESCO. We are hopeful that there will be additional models and opportunities to scale integrated care for ESRD patients at national levels. We remain optimistic about the administration's view for value-based care models. We believe that the capabilities that we’ve built will support our collective goal to improve clinical outcomes, while managing total cost. There has been a lot of recent conversation about Medicare advantage and the 21st Century Cures Act. We would remind everyone that Congress pass this legislation with the intent of making additional insurance options available to Medicare eligible patient, ESRD patient. With respect to expectations of adoption, no one really know what choices will be made by the patient. We continue to believe that the selection into MA will be more gradual. We look forward to working with plan partners to manage the care and the cost of these patient. In parallel, our advocacy efforts are focused on ensuring adequate funding in both Medicare fee-for-service and MA. And as we’ve said before, we remain ready and eager to advance integrated care for Medicare fee-for-service population. Shifting to state policy. We will keep advocating for our patients in California and other states where some labor unions are pursuing policies that are not good for patients, costs or the care delivery system. Now let me transfer it on to Joe, so he will provide additional details on the quarter and specific on 2020 guidance.
Joel Ackerman: Thanks, Javier. Before I begin, I would like to point out that we’ve adjusted the first section of the press release this quarter. We hope this format will give investors easier access to some of the most important results that have historically appeared later in the release. Now I will start with Q4 results and then move to 2020 guidance. We generated $2.9 billion of revenue in the quarter, an increase of 2.75% over Q4 2018. Our operating income was $463 million, which included approximately $67 million in profit related to calcimimetics, resulting in an operating margin of 16%.Earnings per share from continuing operations was $1.86. Now let me take through some of the underlying drivers, starting with the components of the U.S dialysis and lab segment. Non-acquired growth for the quarter was 2.1%, relatively flat with the prior two quarters. Revenue per treatment was down sequentially by $1.10, which includes a $1.68 per treatment decrease in revenue attributable to calcimimetics. Excluding calcimimetics, RPT was up by $0.58%. To recap performance for the full-year 2019 versus guidance, to exclude the impact of calcimimetics, we finished at the high-end of our RPT guidance range of 0% to 1%. We sell outside of the very narrow range that we provided on commercial mix and ended 2019 with a year-over-year decrease of approximately 20 basis points. Although this decline did not have a meaningful impact on our revenue per treatment. Combined patient care costs and dialysis and lab segment, G&A expense was down approximately $2 per treatment quarter-over-quarter, driven primarily by lower compensation and benefits costs. Turning to calcimimetics. We generated operating income of approximately $67 million in the fourth quarter and revenue per treatment and cost per treatment of $12.86 and $4.19, respectively. For the full-year, we generated approximately $220 million in operating income as we negotiated significant cost decreases on oral calcimimetics. For 2020, we now expect approximately $40 million to $70 million of operating income from calcimimetics with approximately half of this to be realized in the first quarter as we expect ASP reimbursement to decline in subsequent quarters. With that said, there are still significant uncertainty around this outlook given the complexity in the ASP methodology. Now turning to international. For the quarter, operating income was approximately $2 million including an FX loss of $4 million. For the full-year, we generated positive adjusted operating income of $2 million, excluding goodwill impairments and including an FX loss of $2 million. Our effective tax rate on adjusted income attributable to DaVita from continuing operations for the quarter was 25.2% and was 27.5% for the full-year. Our effective tax rate for the fourth quarter and the full-year benefited from a decrease in our estimated state tax rate. Now on to cash flow. The full-year 2019 operating cash flow from continuing operations with $2 billion and our free cash flow was $1.1 billion. Both operating cash flow and free cash flow were positively impacted by significant improvements in our DSOs and unusually low cash taxes in 2019. These two factors combined to improve cash flow during the year by approximately $300 million. We do not expect these to recur in 2020. CapEx for the year was $728 million, slightly below the revised guidance range of $740 million to $780 million and well below our initial guidance from the year of $800 million to $840 million. The better results in Q4 was due to the timing of certain project that were pushed into 2020. Since October 1, 2019, we purchased almost 8.7 million shares at an average amount of $64.80 per share. As a result of our recent repurchases, we reduced our share count by approximately 41.3 million shares or 24.8% since the close of the DMG transaction in June 2019. This week we expect to complete our repricing of our $2.7 billion term loan B that will reduce the interest rate on this tranche of debt by 50 basis points. We now expect our debt expense to be approximately $90 million in Q1 2020 and then approximately $85 million per quarter in the subsequent quarters. I will conclude with some comments on our guidance ranges for 2020. We're updating our 2020 adjusted earnings per share guidance by $0.50 per share to $5.75 to $6.25. As a reminder, this includes the expected benefits from calcimimetics as well as the expected cost of ballot initiative in California. Due to the timing of calcimimetics that I mentioned and the expected timing of ballot related costs in the second half of the year, we expect some fluctuations in earnings per share between quarters this year. Our revenue guidance for the year is $11.5 billion to $11.7 billion and our operating income margin guidance is consistent with the target range of 13% to 14% that we talked about at our Capital Markets Day. We expect to generate approximately $600 million to $800 million of free cash flow this year. I will point out that cash flow is inherently subject to greater swing than its operating income due to the time of working capital and other items such as the timing of payroll cycle, tax payments and inter-period changes in the collections of AR. This worked in our favor in 2019 and could swing the other way at some point in the future. Operator, let's now open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Justin Lake with Wolfe Research. Your line is now open.
Justin Lake: Thanks. Good afternoon. I wanted to go through a couple of moving parts here. First, in terms of the higher EPS range year-over-year. Is it fair to think about it as two-thirds coming from calcimimetics benefit that wasn’t in numbers before. Maybe the rest coming from lower debt costs, or maybe you could tell us any kind of moving part -- other moving parts including California kind of delaying implementation of the legislation out there on the ACAS?
Joel Ackerman: Sure. So, Justin, you’ve got the basics right. Calcimimetics is the biggest component of this. And a decrease in the -- in our expected cost for AB 290 plays into this as well. Those are the two big things I'd call out. There are a lot of other moving pieces in here. Our share count moves around as the stock price goes up and a whole bunch of other things related to core OI. But I would say, calcimimetics in the AB 290 are the two big things to call out.
Justin Lake: Great. Maybe you can just give us an update on -- is there any change in terms of the sustainability of calcimimetics in your mind beyond 2020, or do you still expect that to migrate down to kind of neutral? And then, do you have a new AB 290 number for us? I think the old one was 25 to 40.
Joel Ackerman: Sure. So on calcimimetics, we still expect under the current TDAPA that it will migrate down to zero over the course of 2020. We have been -- we -- as you can see, we've not been able to predict how ASP would come down. The positive numbers for 2020 is the result of ASP not coming down the way we expected it would three months ago. I don't know that our visibility on how the rest of the industry has behaved combined with some of the black box natures of ASP have improved, but we do think this has to get down pretty close to zero by the end of the year. In terms of AB 290, we don't have a new number. Clearly the number will be smaller. That said, there will be some legal costs associated with AB 290 and there certainly is the possibility that it gets implemented towards the end of the year. So the numbers are getting to a size where I don't think it's worth calling out a specific number, but clearly below the 25 to 40.
Justin Lake: Okay. Just one last follow-up before I jump back in the queue. The calcimimetics, is it fair to say here that you think costs have come down to a kind of normal range, and we just need to track the ASP and so it falls [ph] to that $4 number kind of [multiple speakers]?
Joel Ackerman: Yes, I’m not saying cost couldn’t continue to drift down a little bit, but the real action for 2020 is on the trajectory of ASP.
Justin Lake: That’s helpful. Thanks, guys.
Operator: The next question will come from Kevin Fischbeck with Bank of America. Your line is now open.
Kevin Fischbeck: Great. Wanted to ask a little bit about this year's guidance kind of in the context of your 2022 guidance, because it looks like you’re kind of there in a lot of your metrics, I guess at the midpoint [indiscernible] for 2% revenue growth per year. So I guess just wanted to understand that jumping point off. Is that still the right point, or are there things in here that now maybe there is a different way to think about the long-term trajectory. And I guess, trying to think about this year's guidance versus the '22 number, I guess the '22 number is going to have a headwind of calcimimetics coming out. And then, I guess your guidance still assumes that AB90 goes into place. Just wanted to make sure that that's one thing we have to figure out if we are trying to [multiple speakers]?
Joel Ackerman: Yes. So you're spot on both those factors of calcimimetics coming out of here and AB 290 going into place. In terms of some of the other things I've call out, on the cash flow number, 2019 was surprisingly high and we called out in the script two of the factors, which are the DSOs having come down as well as cash taxes. I'd also note cash flow was helped by calcimimetics as well and the impact that had on OI. So that happened faster than expected. We also benefited to some extent in the year by some of the CapEx we're expecting late in the year getting pushed into 2020. So the 2020 number might get impacted by that to the negative. There is certainly the possibility that at the end of 2020 we will see some push into 2021 and that could flip either way. The one other thing I'd call out is the margins. We spoke about margins of 13% to 14%. We are not changing that view of the world, and so as you think about what the margins could be in 2022, I'd stick with that number.
Kevin Fischbeck: Okay. That's helpful. And then I appreciate the preliminary comments on MA. But I guess, it sounds like some of the managed care companies are starting to worry this is going to be an issue for them in into 2021. So I was wondering if you could talk about your conversations that you’re having with your MA companies? Is there pushback on rates or anything that you would kind of highlight there that could impact the or change the impact it's going to have on you over the next few years?
Javier Rodriguez: Thanks, Kevin. This is Javier. We've gotten a fair amount of questions on MA. And so I think it's useful to just pull up a little and revisit the origin of it. Number one, this is the only patient population, the ESRD population that was excluded from having the right to pick MA. And so it was fixing a deficiency in the system. Number two, what is our role going forward? And our role is to just make sure that our patients are well informed so they can make the best decision individually. Point number three is everybody is trying to size it and when you try size something like this, there's two variables, of course, one is rate and the other one is volume. And so what we’ve said is that our rate is above Medicare, but substantially below commercial. We are not going to give anymore on that variable. The one that’s most sort of undecided at this juncture is the pickup of the volume and all of you know the same as we do, which is there's a lot of variables at play when individual has the primary insurance, the secondary insurance, do they have Medigap coverage etcetera. So we continue to think that it’s reasonable to think that penetration will reflect the overall market. In addition, many people believe that our patients will have sort of a quick trigger to pick an insurance when there's so many complicated variables and they have many of them been in Medicare for quite some time status quo might just keep going. So we're literally asking how will our patients interpret their benefit, and so we don't know and so many people are continuing to size that it's going to be some kind of an aggressive movement and we continue to think that it'll be more gradual.
Kevin Fischbeck: I guess that's definitely helpful. I guess, two thoughts on that. Is there anything that you would think of as you think about that rate differential that you currently get that makes you think that whatever reason it wouldn't be sustainable? I guess, obviously by any standard measure, you just want to bring that delta down over time, but is there any reason why you think that could be the case or -- but maybe you could keep those economics that maybe change the way that you actually contract with managed care, take more risk things like that?
Joel Ackerman: Yes. I would think it as an opportunity for us to expand the way we talk to our contract and to our payer providers. It's an exciting time where we're all aligned in trying to make sure that we have integrated care for our patients, and so we're leaning in and trying to see how we can best serve them and be a partner. And if they think that the MA volume is going to be higher than us that might also be an opportunity to contract in that way. So we're excited. Obviously, they want lower rates. We would like higher rates and that dance is never going to change. And then the question is can we all get creative when coming up on a win-win situation.
Kevin Fischbeck: Okay. And then I guess to your point about the shift into MA, point well taken that inertia tends to be the way people tend to act when it comes to health insurance, because it's kind of daunting to shift for that, but I would assume that the fact that you’re able to meet with these people three times a [technical difficulty] what the options are would potentially change that dynamic and where we do our analysis in the 20 states where MedSup isn't available for people under 65 in an affordable way, then I would think that adoption will be quite large. The question ends up being so that where in those states where it is available, is there a rationale for those patients to switch from a MedSup plan into an MA plan? And then similarly in a -- for a dual eligible populations, which is 40% of your Medicare book. Is there an incentive for those patients to move? And why would either of those classes see the benefit of an MA plan?
Javier Rodriguez: Yes, the first premise that you discussed, which is access to the patient is worth exploring because you might be more talented than us that when you talk to people about their insurance, it's not usually like Netflix or anything. They don't want to keep watching the next episode. People usually start to glaze over a bit and say when you talk about deductibles, when you talk about coinsurance, when you talk about those kind of thing, it is not normal vernacular for most of these folks. And they’ve been on Medicare for some time and it works for them. And so then you got to start to explain that maybe it's more restrictive, maybe they can't see their doctor, but it's got other benefits and you get into it and then you can see that some people just tune out. And so the question is, is it our obligation to go back at them? And the answer I think is no, because you’re satisfied with the insurance. We just have to make sure that you have a new option. And so on all these -- on the dual sometimes that could actually have very little out of pocket and so you might not want to switch that situation. So it is very specific to each individual, but again the net of it is that we think we are not going to look very different than the overall population, but there is the range that we're all playing with.
Kevin Fischbeck: And just last question. Is there a time period when you feel like you will know how that shift is going? Will you know during the open enrollment period in Q4, or do you actually have to wait till January for the patient claims actually start coming in under the new payers?
Javier Rodriguez: Well, I think we’re going to have to wait till January. We will have some preliminary stuff, but unlikely that we're going to want to predict how that'll play until we see it since it's the first time we're experiencing it.
Kevin Fischbeck: Right. Great. Thank you.
Javier Rodriguez: Thank you, Kevin.
Operator: The next question will come from Pito Chickering. Your line is now open -- with Deutsche Bank.
Pito Chickering: Hey, guys. Thanks for taking my questions. A few ones here. On the 2020 revenue guidance, what are you guys assuming in terms of organic treatment growth and revenue per treatment? And how does the commercial reimbursement look for 2020?
Javier Rodriguez: Sure. So, hey, on NAV we’ve -- we are guiding to 1.5% to 2.5%. In terms of revenue per treatment we are not going to guide to RPT anymore in the level of specificity we have in the past. That said, I think it's safe to say going forward that it'll look similar to what it looked like in the recent past. The same dynamic in terms of commercial RPT, Medicare RPT and mix should play out next year the way they have in the recent two years. The one big change obviously is on Medicare fee-for-service reimbursement. We got that in '19 and we see that continuing forward. So, again, as we think about the how we want to guide and this is consistent with what we’ve raised at Capital Markets Day, more of a focus on margin than on any of the individual inputs. That said, if you think about the inputs of RPT and the subcomponents there as well as cost per treatment and the other things we don't see anything particularly different next year to call out than what we've seen in the recent past.
Pito Chickering: Great. And then on the 2020 margin guidance, let me ask this a different way. If we exclude calcimimetics for 2020, the operating income margin is I think 12.5%. If we exclude $47 million of calcimimetics for 2020, it looks as though you’re guiding to about 50 basis points improvement in 2020 versus 2019? First quarter '18 was a very easy comp, so if you exclude calcimimetics for 2019 and 2020, and easy comp of first quarter '19, how should we think about core operating income margin in 2020 versus 2019?
Joel Ackerman: Okay. Pito, you lost me there on your math, but I will tell you the way I think about my math and I apologize if this doesn't kick in tight to what you asked, but you can follow with Jim afterwards. So for adjusted normalized numbers, so this excludes calcimimetics, we came in just north of 14% in 2019. We expect that -- and again, we are not guiding to OI. So we -- again, we said that calcimimetics -- at Capital Markets Day we are sticking with that. That said, either through a top-down analysis using revenue and our margin guidance or bottoms up through EPS, you can all do the math and come up with a range. So, I’m going to give some high-level thoughts relative to what’s probably the middle of the range of what you should be thinking about, which should show you a little bit of margin compression in 2020 versus 2019, although still very much in that 13% to 14% range we talked about at Capital Markets Day. And if I have to point out what is driving that, you got a little bit of AB 290 in there. You've got the continued pressure on labor costs associated with the strong environment we are in and we are also looking at making some investments in the form of operating costs, investing in our future around things like home, things like integrated kidney care, things like data and analytics. So if you put those -- all those things together, you would come up with a little bit of margin pressure in 2020 over 2019, but still very much in the range of what we talked about at Capital Markets. Is that helpful?
Pito Chickering: Yes, very much. So which actually sort of the last question. At the Analyst Day you talked about capital -- capital growth with CapEx coming down to 615 in 2022. And you sort of -- you just mentioned sort of kidney start home based programs. Can you quantify how many of your centers have separate home treatments options today and how many are freestanding home centers as well?
Joel Ackerman: I don’t know the answer to that.
Javier Rodriguez: We will follow-up on it.
Joel Ackerman: We can follow-up with you on that, Pito.
Pito Chickering: Great. Thanks so much, guys. I appreciate it.
Operator: The next question will come from Andrew Mark [ph] with Barclays. Your line is now open.
Unidentified Analyst: Hi. Good afternoon. Just wanted to follow-up on the 2020 guidance components given all the moving parts. You raised EPS guidance by $0.50. It sounds like that increase is largely accounted for by the benefit from calcimimetics and the reversal of AB 290. So is it fair to say that the underlying assumptions on share repurchase remain the same given the $2.4 billion of share repurchase you did in 2019 combined with the nice volume of stock price in the last few months? How should we think about the size and cadence of share repurchase in 2020?
Javier Rodriguez: Sure. So the fundamentals of our share repurchase philosophy haven’t changed in terms of focusing on intrinsic value and ensuring we are not buying at what we believe -- above what we believe intrinsic value is. Also with the general expectation to stay most of the time -- although not all of the time, within our leverage guidance of 3x to 3.5x, I will take a second here to notes that you'll see the leverage number in the press release is around 3.1, which would bring it in at the low-end of our range. If you think about that excluding calcimimetics, which I think is a better way to think about it, it would put it at the higher end of our range. But with all that said, our philosophy on buybacks has not changed. I think what has changed since we spoke to you in November is the stock is up from the high 50s, low 60s to now in the 80s, and that does impact our share buyback thinking really in two fundamental ways. One is that the dollars we would apply to share buybacks will just buy that many fewer shares because the stock price is up. And second as we think about intrinsic value and comparing that to where the stock is, this -- where the stock is will fundamentally impact how we think about buybacks. So we're going to give you any foresight in what we plan to do. We’ve always shied away from that. But I wanted to give you -- kind of a bit of an update there on how we are thinking about things. Quarter Great. I appreciate the color. And then second question on the home dialysis front. The mandatory model from the executive order was supposed to go into effect last month, and now that’s delayed. Are you hearing anything out of D.C. on why that model got delayed? And does the temporary or even permanent delay of the model impact your strategy that increase home penetration?
Javier Rodriguez: No, in general I think the executive order had a lot in it and they asked for comments and the community was very united on its views. And so we are glad that the administration has taken its time because we want a good outcome rather than meeting a deadline. And no to the other question, which is while policy, of course, impact at the end of the day, the patient and the physician pick the modality and that's what's driving the movement to home. People picking it or not picking it as opposed to any policy changes at this juncture.
Unidentified Analyst: Okay, great. Thanks.
Javier Rodriguez: Thank you.
Operator: The next question will come from Steve Tanal with Goldman Sachs. Your line is now open.
Stephen Tanal: Good afternoon, guys. Thanks for the question. So I wanted to go back to the 2021 rule change. I guess where I’m struggling with the idea that penetration of ESRD patient should reach the overall market is just this notion that today, I mean, penetration of ESRD patients is 25% for the market at large despite the fact they can't freely enroll in the plan. So wouldn’t that tell us that this patient panel probably prefers MA and that penetration could exceed 35% over time. And I guess I know we are still anchoring to that, but it looks like CMS last week with the changes in the advanced notice for MA rates, took their forecast up to 33 and 21 and then going to 42, 41x22 -- 2024, then 42 thereafter. So obviously a much, much more optimistic outlook than you guys have. So any thoughts on those pieces there?
Javier Rodriguez: Yes. Steve, I think that all of the opinions are quite reasonable and we don't proclaim to be right. We are all doing it the same data as to economic deductibles, out-of-pocket max, sort of coordination of care network -- narrow networks or broader network. And so when we put all the variables in place, we just think that, in general, we think that it'll take a little bit longer for people to settle in to the choice than others that think that it will be what I call a very efficient and effective market and we of course could be wrong. And so there is that range that it, let's call it the low -- the base case and the high case and we don't have any additional insight that you or CMS doesn't. There's no detail information that we are relying on.
Stephen Tanal: Helpful. Okay. And then I just heard you correctly, Joel, in terms of making sure your patients are aware of their options. I imagine that applies to all states, regardless of whether there's guaranteed issue for MedSup or not. Is that correct?
Joel Ackerman: Yes.
Stephen Tanal: Okay. And then, I guess, I wanted to also ask about another part of that proposed rule to the extent you guys have the time to go through all this, but the network adequacy proposals, there's a few things in there. I won't go through all of them here, but some could be presumably read as maybe mitigating some of the market power and dialysis. How do you guys think about that dynamic, in general? I guess, I'd leave it open-ended there. I don’t want to dissuade any or share, maybe I guess?
Joel Ackerman: I appreciate, Steve. Obviously, network adequacy is critical in any disease state. When you are signing up for a product you want to make sure that it got coverage, so that if you end up signing up and then you have ESRD, then you don't end up having some kind of restricted network. And of course it matters whether it's in there or not. The plans have been quite vocal. And from our perspective what we want to do is going back to our conversation earlier is we want to change the dynamics with our payer partners so that they see what we're doing and how we are adding value so that they do want to contract with us in a way that’s a win-win.
Stephen Tanal: Perfect. Helpful. And maybe one more on this and then I will yield. Just going back to the treatment deltas, the MA fee-for-service. I guess, I appreciate that you guys don’t want to give a certain difference, but maybe you can comment on how much variability there is in that spread? And what factors dictate his DaVita's willingness to contract for lower versus higher spreads of different MA plans?
Javier Rodriguez: Well, I appreciate the question, Steve, but I think you probably know it had low odds being answered. Every plan is steering right now at how they want to contract with us. And actually even if I try to answer it and be helpful, the contract is very specific to each plan and their ability to take risk and our ability to take risk and so it's very specific. And so unfortunately I can't give you more detail on that.
Stephen Tanal: That’s fine. Thanks a lot. Appreciate it.
Joel Ackerman: Thank you.
Operator: The next question will come from Whit Mayo with UBS. Your line is now open.
Whit Mayo: Hey, thanks. Good afternoon. Just a couple here on calcimimetics. You’re guiding to $40 million to $70 million of OI this year. 50% of that is falling in the first quarter, which implies about 25% of today's run rate of $220 million in the first quarter. So I’m just curious what you're basing that on? Is that based off of ASP for the quarter today? How much visibility do you have into the first quarter contribution at this point? I guess, this is what I’m asking.
Joel Ackerman: We’ve got pretty good visibility with that. The ASP number came out I think in December. Not perfect visibility, but -- so in Q1, we've got that. The trajectory of what that looks like going forward though is where we don't have perfect visibility and we won't know ASP for Q2 for a little while now.
Whit Mayo: Okay. So that looks like that’s about a 60% sequential decline of the fourth quarter for ASP, is that right?
Javier Rodriguez: Whit, we are …
Whit Mayo: Do you know …
Joel Ackerman: There are other factors that go into that. In terms of the cost decline, the changing mix between Sensipar and Parsabiv and Parsabiv cost differential. So I'm not sure you can get as cleaner number as you'd like from that, but …
Whit Mayo: Is it -- I mean, presumably the ASP numbers available, so can you disclose what it is for the quarter?
Joel Ackerman: Yes. It's down a little bit more than 40%.
Whit Mayo: Okay. So some other factor would be driving your cost up to lower the OI by 60%?
Javier Rodriguez: Well, there is -- there are other factors besides cost because there's a mix issue between the oral and the IV as well.
Whit Mayo: Yes, yes, got it. Got it. Okay. That's -- and thinking about the remaining $50 million or -- not $50 million, but the remaining earnings, how do you -- I mean, are we -- how should we think about the progression of that earnings? Is it fall ratably throughout the year? I don’t know, just any help? I mean, I know you’ve about as much visibility into this as we do.
Javier Rodriguez: Yes, if you think about it getting cut in half each quarter going forward, that’s a reasonable algorithm to use and then it goes to zero by the end of the year.
Whit Mayo: Okay.
Javier Rodriguez: Again that’s not a prediction. That's just to help you all with your modeling.
Whit Mayo: Yes. Is there a scenario where by the time the industry sort of sees the benefit of calcimimetics zero out that you are still carrying some level of earnings from calcimimetics, given that you’ve presumably been buying below the market for some time?
Joel Ackerman: Unlikely just because the numbers get so small in terms of the cost, I think the more interesting question about calcimimetics is ultimately how it gets bundled.
Whit Mayo: Bundled, yes.
Joel Ackerman: The TDAPA stuff will play out relatively quickly.
Whit Mayo: Okay. Just a couple of other quick ones. So just back to the NAG guidance of 1.5 to 2.5 that does implies some level of deceleration. Just Joe maybe any factors influencing your decision to bring the range down?
Javier Rodriguez: Let me grab that. This is Javier. We continue to look at the macro ranges and we just think that is the right place to land. We're continuing to invest in our missions, in our IT, in all other operations to simplify patient placement. But at the end of the day, what we are focusing is ensuring that we have the discipline and capital so that we have profitable growth. And so we're not going to chase volume. It's just not the right thing for us. And so we're comfortable with that range of 1.5 to 2.5.
Whit Mayo: Okay. Thanks.
Javier Rodriguez: And just as an FYI, my memory has me right, that is not a change from capital markets. We had at 1.5 to 2.5, but I could be wrong. So let's check that.
Operator: Thank you. And the next question comes from Gary Taylor with JPMorgan. Your line is now open.
Gary Taylor: Hi, good evening. Just a couple of questions left for me. The first, just going back to the question about the ETC, the mandatory demonstration that's been delayed. Do you have any visibility on when that would start? Are you incurring any costs to prepare for it? And I presume since that model had some dialysis center reimbursement cuts, which you could potentially earn back since this is delayed, any potential financial impact is not contemplated in the 2020 guidance?
Javier Rodriguez: The short answer is we do not have any more information than any of you. We were given an opportunity just like all providers to give our opinions and insight. And we did and they’re processing that and we have not heard back. We are not incurring any costs right now associated with it. And it was not embedded in our guidance. So right now you're even, Steven, if you will, there's no changes.
Gary Taylor: Right. Thanks. My last one to Joel. I just wondered if you would perhaps just review and clarify for us either on an EPS basis or a dollar basis what actually is in 2020 for advocacy costs because I know in the third quarter, you bumped that up $0.50 or, call it, $87 million pre-tax. But that, I think, was on top of what you view as your recurring sort of normal advocacy, But then with the AB 290 delay, maybe some of that costs came back in your direction. So maybe just some help on when we think about the 2020 guide, how much above sort of your -- what you'd call your normal advocacy spend is built into 2020.
Joel Ackerman: Sure. So nothing has really changed in that, Gary. There hasn’t been any interplay between 2020 ballot initiative spend and AB 290. They’re pretty independent. So the $0.50 per share is the right number and that's over and above the $30 million baseline that we plan to spend year- in year-out. The one correction I would make to your numbers is, this ballot initiative costs is not tax deductible. So your $87 million pre-tax is overstated because I -- my guess is you got to that calculation assuming this would tax deductible.
Gary Taylor: Yes, I recall you told us that, somewhere like $60 million, $65 million range, probably. So …
Joel Ackerman: We are sticking with $0.50 a share. So …
Gary Taylor: Okay. All right. Thank you.
Operator: The next question is from Justin Lake with Wolfe Research. Your line is now open.
Justin Lake: Thanks. Just figure out one through what's left of my question list here. Do you guys -- so first on the cash available for deployment at your end. I think if my recollection is correct, you guys typically want to run around $500 million at the parent at quarter end. So is to fair to think about you guys have another $500 million give or take of deployable cash at your end is that right?
Joel Ackerman: Yes, that’s about right. $500 million is typically what we want to have in the system. So, yes, the $600 million is the number above that.
Justin Lake: Okay. That’s helpful. And then, Joe you spend time talking about the intrinsic value kind of coming into repo. And given that you did a tremendous amount of repo at really attractive price for the benefit of shareholders, now that the stocks in the 80s, it looks like you are going to little bit less [indiscernible] at those levels. Is there anything we should read into your view of the intrinsic value here at the current price? And how you expect above x-stock? Could you give us a kind of at the moment update?
Joel Ackerman: Yes. We are -- we’ve never really been willing to talk about what our views of intrinsic value are at any moment in time, and I don’t expect to deviate from that here. I think the one thing I would point out is intrinsic value is a moving target. It's not something that stays static and its impacted by our results and it can be impacted by our buybacks and everything else. So I think what our views of intrinsic value were six months ago are necessarily the same with our views of intrinsic value today.
Javier Rodriguez: One dynamic, Justin, that is rarely talk about publicly also is that we have big blackout periods. And then you have plan and we have restrictions and whatnot and so what you want to do is not look at one quarter or two quarters, but overall what is our track record and I think you see our track record over time it's quite fluid, consistent with what Joe said.
Justin Lake: That absolutely makes sense. Thanks. And then just quickly on your commercial mix. Joe, you said it was down 20 basis points year-over-year, but not really immaterial impact on revenue per treatment. Can you just give us some more color on that, given how key that metric is?
Joel Ackerman: Yes. Look, not every commercial payer is created equal and if the mix comes from payers with lower rates, it has much less impact on our RPT than a payer who is at an average rate.
Justin Lake: And so would you say this is instead of it being just kind of normal aging of the population type of thing, did you proactively kind of walk away for some contrast that were lower priced or was that just kind of the way things fell?
Javier Rodriguez: Yes, I would say that, what Joe start off with on an early question still holds, which is there's no new dynamic and sort of the ecosystems/ negotiation is relatively stable. There was no big decision one way or another and it will play out the way it is.
Justin Lake: Okay. Just a few couple of others here. One, Joe, just to make sure we understand, you’re not giving OI guidance, but you back to Pito's question on margins, core margins ex kind of moving parts are down a little year-over-year, revenue is up a little bit. So kind of core OI [indiscernible] changes things like that are -- is effectively flat year-over-year within your guidance. Is that a reasonable way to think about it?
Joel Ackerman: I’m reluctant to get drawn into the OI guidance question because we're not guiding on OI. That said, I think again you can look at the range is top-down or bottoms up. I would say it's fair to say that at the middle of the range is you should expect some OI growth year-over-year.
Justin Lake: At core, like ex moving parts.
Joel Ackerman: With margin compression which would say it's not going to grow at the rate of revenue.
Justin Lake: Okay.
Joel Ackerman: And that's, Justin, yes, that’s core excluding calcimimetics and other stuff -- other noise.
Justin Lake: Got it. And then maybe quick commentary, I think you -- the industry was going to run its own ballot initiative in California and then decided to back off that. Is there some reason why you decided to back off or do I have that wrong?
Javier Rodriguez: No, you have it right. And I think the right way to think about it, Justin, is very early on you have to explore all your options. And so there's some filing restrictions etcetera. So we were exploring option, making sure that we had everything at our disposal. After evaluating it, we did not think that that was something that we should pursue. It's not in the best interest of our strategy and that’s cleaner to go right after it, literally straight at it as opposed to doing a counter measure.
Justin Lake: Okay. Thanks for all the time, guys.
Javier Rodriguez: Thank you, Justin.
Operator: The next question will come from Maggie Jiang with Bank of China New York Branch. Your line is now open.
Maggie Jiang: Thank you for taking my call. My question here is what is your priority inters of the international expansion? I see that there are about 241 centers in the international as of 2018. Not sure if that number goes up in 2019.
Joel Ackerman: Sure. So our priorities for international are similar to our priorities in the U.S., which is capital efficient growth. We continue to see it as a growth business. We continue to deploy capital there in the markets that we see is having the best opportunities and those are opportunities where we can either acquire things at attractive rates or build de novos at attractive rates and where we have an opportunity to add value. So growth in '19 was relatively in line with our expectations. We see 2020 continuing along that path.
Maggie Jiang: Okay. And in terms of the long-term growth for the international business, do you expect the -- just because different regions will have different type of reimbursement system, affordability and customers, clientele. So do you -- would you expect the international profitability versus your core in U.S?
Javier Rodriguez: I think that will vary very much country by country. As you noted some countries have better reimbursement, others less so. So I think it will be a bit of a mix and where it winds up relative to the U.S will depend a lot on the different mix in the different countries and where we chose to prioritize our investments. So it's hard to predict now what the ultimate margin will be relative to the U.S margin.
Maggie Jiang: Okay. And since that the revenue coming from the international is roughly about 4.5%. However, the growth if I just purely look at Q4 2018 versus Q4 2019 the growth from the international revenue is 6.45%. So that seems to be a brighter spot than the aggregate revenue growth around 2.7%. So do you think that you will continue to approach international, particularly in China. However, on the other hand, we do see profit -- net operating loss from international.
Javier Rodriguez: So, yes, I do think we are going to continue to invest in international whether it grows faster than the U.S., we are not giving specific guidance on that. Although, I think looking at the past is a reasonable guide to the future there. So, yes.
Maggie Jiang: I see. And then in terms of Asia -- footprint in Asia, I see there are a few branches, a few centers in Taiwan and China. And you’re also working with APAC JV. Can you just give me a sense in terms of what’s your business model and how do you approach China or Greater China?
Javier Rodriguez: So we generally don't get into too much detail on any individual countries. So I’m going to pass on that one.
Maggie Jiang: Thank you.
Javier Rodriguez: Thank you, Maggie.
Operator: Speakers, there are no questions in queue at this time.
Javier Rodriguez: Well, I want to thank you all for investing the time. We look forward to talking to you again. And we are going to do our hardest to deliver on all that we committed. Thank you and talk again soon.
Operator: And that concludes today’s conference. Thank you for your participation. You may now disconnect.